Operator: Good day everyone. And welcome to the Dixie Group Incorporated Fourth Quarter 2013 Conference Call. Today's call is being recorded. At this time for opening remarks, I would like to introduce Mr. Dan Frierson, Chairman and Chief Executive Officer. Please go ahead.
Dan Frierson: Thank you, Danielle. Welcome everyone to our fourth quarter and year-end conference call. I have with me Jon Faulkner, our Vice President and CFO. Our Safe Harbor statement is included by reference both to our website and the press release today. A $95.8 million and up 34.7% over the previous year, our quarterly sales were the largest and highest we have had for any quarter since the company was reconfigured in 2003. Our residential products were up 30.5% versus the previous year, while the market experienced mid single-digit growth. Our commercial products were up over 45% and the market we believe was up in the mid single-digits. For the year we continue to outpace the industry and gain market share. Our sales were up 29.5% for the year and we believe the industry was up in the mid single-digit area. Jon Faulkner will review our fourth quarter financial results with emphasis on our growth initiatives. After his presentation I will comment further on our strategy and plans for the future.
Jon Faulkner: Thank you, Dan. Looking at sales, again for the year, our sales were $345.1 million, an increase of 29.5%, fourth quarter sales were $95.8 million, up 34.7% on a fiscal period basis versus last year. For the year, our commercial products were up 30.1%, while the industry was up in the low single-digit. Our residential products were up 28.5%, while the industry was up in the mid to upper single digits. For the quarter, our total sales were again up 34.7%, while we believe the industry was up in the mid single-digits. Our commercial products were up 45.5%, while the industry we believe again was up in the mid single-digits. And our residential products were up 30.5%, while we believe the industry was up in the mid single-digits also. We’ve outperformed the industry both in the commercial and residential products for both the quarter and the year. In the fourth quarter we saw strong sales growth in our residential products throughout our retail channels. Our continued investment in Stainmaster, TruSoft and PetProtect products has paid off during 2013. And we continued to [map] the year of double-digit growth in wool products. Sales growth in our commercial products is led by our Speak modular carpet tile collection. For the year, our gross profit was 24.8% of net sales as compared to 24.5% for the prior year. For the fourth quarter, gross profit dollars were up 31% compared with a year ago, as a percent of sales gross profit was 23.8% versus the prior year of 24.5%. We did have unusually high medical expenses late in the fourth quarter which would decrease gross profit by approximately 0.6 tenth of a percent. SG&A for the year was 22.2% of sales or 1.6% below the prior year. For the fourth quarter of 2013, SG&A was 21.5% as compared with 23.8% for the same quarter 2012. Lower expense ratio was driven by higher sales volume. Over the next few years, we anticipate our SG&A expenses would drop by approximately one percentage point as return to our more normal level of new product sampling expense. Operating income was $8.6 million for the year as compared to $1.8 million a year ago. For the year, we had additional expense in cost of goods sold and other expenses of $5.5 million from manufacturing expansion business integration cost. These expenses were primarily due to the expansion of our Colormaster continues dye facility to start up of our space dye yarn operation, expansion of our Roanoke yarn capacity, integration of our Crown Rug and Robertex wool acquisitions and other related expenses during the year. We anticipate and added $270,000 of these final integration expenses early in 2014. For the year, we have business integration expenses and SG&A related to launching the Avant brand and rebranding of our Robertex products of approximately $1.8 million. We anticipate these selling related expenses to be approximately $1.1 million in 2014. For the fourth quarter, we had an operating income of $1.8 million compared to an income of $415,000 in the same period of 2012. We had manufacturing expansion business integration expenses of $1.3 million during the quarter. In addition, we had rebranding and launch expenses for our Robertex and Avant line of $597,000 in our SG&A expense for the quarter. In 2014, we will begin the expansion project with the consolidation of our distribution network and streamlining of our manufacturing operations. This project will impact cost of approximately $2.4 million over two year timeframe with approximately $1.3 million of that in 2014 and the balance in the first half of 2015. Our interest expense for the year of $3.8 million was up 19% from the prior year due to higher levels of debt. For the fourth quarter, interest expense was $996,000 as compared to $877,000 the prior year due to higher debt levels. Our effective income tax for the year was a benefit of $643,000. This was primarily due to prior year tax credits and reverse of our state tax valuation allowances. Without such items, the tax rate for the year was 25.5%. Our normal rate going forward of reasonable levels of profitability should be in the 32% range. Diluted income from continuing operations for 2013 was $0.40 per share as compared to a loss of $0.05 per share in 2012. For the fourth quarter we had an income of $0.12 per share as compared to a loss of $0.03 per share in the fourth quarter of 2013. Looking at our balance sheet, our receivables increased $11.6 million during the year, while inventories increased $21.4 million. Capital expenditures and leases were $13.3 million as compared to depreciation and amortization of $10.3 million for 2013. We anticipate capital expenditures for 2014 of approximately $16 million and depreciation and amortization of approximately $12 million. Our debt stood at $108 million at the end of the period, up $23.8 million for the year. We ended the quarter with availability under our loan agreements of $32.6 million. Our investor presentation including all of our non-GAAP information is on our website at www.thedixiegroup.com. Dan?
Dan Frierson: Thank you, Jon. We believe the dramatic downturn of our industry and the economy in 2008 and ‘09 along with the changes in our industry has provided an opportunity for growth and market share gains. Taking advantage of these opportunities that’s had an adverse impact on current period earnings, but we believe we’ll begin to see the benefits to our bottom-line going forward. Since the downturn in 2009, our carpet sales have grown 68% and we estimate the industry has only grown about 12%. During this period, our residential sales were up 88% and the industry less than 10% and commercially we grew at 28% and the industry around 15%. We have made major investments in our business to fuel this growth. With the fiber changes in the industry, the movement to soft fibers and our move into wool products we have continued to bring more new products to market than we would during more normal times. We have also invested in yarn processing, new tufting and rug technology and new dyeing technology. Specifically we increased our Roanoke yarn capacity by over 40%. We purchased, upgraded and increased the capacity of our Colormaster dyeing facility over the last 15 months. We purchased and started up our new space dye line, providing us with additional yarn capabilities. We acquired the top selling product lines from Gulistan and expanded our residential sales force. We invested in the Crown rug operation, moving it into our California facility and expanding its production capacity. We bought and are currently integrating the Robertex wool business into our Fabrica and Masland product lines. On the commercial side we brought in a new management for our contract business and initiated a stream of new products to enhance our position in the specified commercial market. We also upgraded our modular tile processing equipment to lower cost and improved efficiency. We launched the Avant brand in 2013 and recently announced both a joint venture and distribution agreement with Desso to expand our penetration in the high-end hospitality market and bring a new set of innovative cradle to cradle modular tile products to the North American marketplace. We believe the actions we have taken to grow our business will continue to provide growth in 2014. The fourth quarter was strong and the year began with positive momentum. However, adverse weather conditions have tempered growth in January and early February and also impacted efficiencies in our manufacturing operations. January sales were up 2.3% and February so far is up about 16%. We believe sales will regain momentum as weather conditions improve. Year-to-date sales are up a little over 6%. Our big box business tends to be to come in large chunks and the year ago period was very strong for January and early February. Our sales year-to-date exclusive of big boxes is up 10% with particular strength on the residential side and the higher end as evidenced by growth of our Fabrica products and the wool business. On the commercial side, our modular tile business is continuing to grow rapidly. As indicated in our press release, streamlining our distribution network is the remaining major investment needed to sustain our continued growth in sales. This will be done over a 15 month time period during this year and next. We believe that housing industry trend should provide a favorable climate for the next few years. And although the first quarter has been challenging for the industry, we expect the year to be one of growth. This time we would be happy to answer any questions you may have.
Operator: (Operator Instructions) We'll go to Sam Darkatsh with Raymond James.
Josh Halpern - Raymond James: This is Josh filling in for Sam. Thank you for taking my questions and congratulations on the quarter.
Dan Frierson: Thank you, Josh.
Josh Halpern - Raymond James: Quickly, I want to make sure I -- the comments on the non-big boxes businesses. Do I hear correctly that that's [raining] plus 10% so far in the quarter?
Dan Frierson: Yes, that's both residential and commercial combined.
Josh Halpern - Raymond James: Got it. And as we look at March, was that particularly strong month for you last year or do you compare some [skit] meaningfully more difficult?
Dan Frierson: It was a good month and our first quarter as I recall was up some 22% from the prior year. So, first quarter was a very decent quarter last year.
Josh Halpern - Raymond James: The most of the big box lump was in January and February?
Dan Frierson: It grew throughout the year, but we were strong in the early part of the year, yes.
Josh Halpern - Raymond James: Okay. And then with regard to input cost trends, we've been hearing a little bit about possible rate inflation in nylon. Are you seeing anything to that effect and what are your thoughts on input cost and industry pricing for 2014?
Dan Frierson: Josh, we seem to have a habit of trying to raise prices early in the year, they don't always tick. We have not been informed of any pricing, major price increases, a few raw materials have gone up slightly. But at this point, unless there is continues to be major movement in the old price, we may not see it. But at this time, we have not.
Josh Halpern - Raymond James: Thank you for the color. And again, best of luck on the next quarter.
Dan Frierson: Thank you, Josh.
Operator: And our next question will come from Les Sulewski with Sidoti & Company.
Les Sulewski - Sidoti & Company: Good morning, gentlemen. Thank you for taking my questions.
Dan Frierson: Good morning.
Les Sulewski - Sidoti & Company: So looking at last year, you roughly achieved 30% growth, two new additions and favorable market conditions. Can you help us understand what kind of growth you’re aiming for this year?
Jon Faulkner: We do not give forward projections, Les, but I will say we see positive momentum coming into this year, though the first quarter has been challenging with all the weather-related issues. As Dan indicated, what we did see is the overall industry will continue to rebound and typically we performed better than the industry being at the upper-end part of the market.
Dan Frierson: We think the upper-end of the market and the very lower-end of the market are outperforming the market generally. So, we will expect being primarily committed to the upper-end of the market that that business will grow faster for us than the market generally. Also, as we indicated, we have continued to introduce product at a very rapid rate both on the residential side and on the commercial side. And we think that does have a dramatic impact on our business and therefore would expect to outperform the industry for the year.
Les Sulewski - Sidoti & Company: Okay. Thank you. And you mentioned on one of your previous calls that you’re targeting 7% to 9% operating margins, I understand integration could sometimes take a little bit longer and all things come up at weren’t expected. But can you provide us any update on where you see the margins headed? Has that target change or the timeline didn’t kind of pushed right?
Jon Faulkner: Les, first of all, that is correct that is our longer-term belief that that’s what the industry or what the company should be able to perform at those levels. However I will say that as we have grown really beyond or what had been our previous capacity levels really in that $330 range we got up into the $345 million range and continue to grow, we had run into a series of bottlenecks and if you look at that we expanded our yarn capacity 40%. We reopened our Eton facility to give us plenty of space to add tufting. We doubled the capacity at our dying and we have always had plenty of capacity in finishing. And the real last bottleneck has been in our distribution network. So as we expand the distribution network over the next 15 months, what we will be doing is increasing capacity which should takeaway the things that have been affecting us in terms of returns. So I think as we get over that period of time that will put us back in line with trying to get back into those ranges. But historically if you look at the competition as well you will see that 79% range is a reasonable industry expectation.
Les Sulewski - Sidoti & Company: And you can kind of build up on the distribution network with Desso in the picture now. Could you comment a little bit more on that?
Dan Frierson: In terms of distribution, we will be combining our distribution in the one facility and that’s really we have leased the facility and that is for Georgia very closed count and we will be combining all of our distribution from several different locations in the one, which will allow us to serve our customer better. In terms of Desso we have had relationship with them for some time; we have reached the agreement with them on a joint venture and a distribution agreement. And what we are -- particularly in the hospitality area we will combining efforts with our sales people and their sales people. We will have a much broader offering by combining their products with our products. They have wool products; we primarily have tufted products and rugs. And we feel like that will allow us to be a more complete supplier in the hospitality trade. And we are very excited about the possibilities there going forward. We will be distributing their many of their very innovative top modular tile products such as their air master products, sound master, light master. Each of these have innovative characteristics that are engineered into the products that make it perform differently than most other products in the marketplace. And we will be training our sales associates next month and then after that launching this out into the industry. So we really think it’s a great opportunity to bring additional product, innovative product and different product than other people are selling in the marketplace.
Jon Faulkner: I will mention that the sales cycle in the commercial marketplace is significantly longer than residential. So really we anticipate impact more in 2015 and beyond and 2014 as we are starting the sales process together with Desso.
Les Sulewski - Sidoti & Company: Great, thank you for taking my questions.
Operator: And we’ll hear next from Arnold Brief with Goldsmith & Harris.
Arnold Brief - Goldsmith & Harris: Yes. I have got a couple of although a lot of have been answered already. Just as a point of information if I am not mistaken in the first quarter March is by far the biggest month of the quarter normally?
Dan Frierson: It is certainly used as the strongest month of the first quarter.
Arnold Brief - Goldsmith & Harris: Thank you. Secondly on the Desso agreement, it’s not, are they distributing some of your products or is it you distributing their product exclusively? It is we are already in a high totality mark, is there any conflict of what you are already distributing? Could you give me some idea of how many SKUs are involved as the volume potential? And finally I’m sure you should have a positive impact on revenues, given a distribution agreement that gives you much lower margin, could you give [flash us out] a little bit?
Dan Frierson: Let me give you a conceptually Arnie. First of all thank you for the question. We offer tufted product and rugs into the hospitality trade, they primarily offer woven products. So there is not a lot overlap and we are talking about an agreement here in North America. Now on the (inaudible) distribution agreement that is a little different animal, it really gives our sales people more product to sale to the same or similar customers that are much more environmentally sensitive and designed for specific applications. Now you ask if about elsewhere the Desso will be selling some of our tufted products in Europe as well. But we are excited about the possibilities here; we are just getting started with this. And as Jon said, it will not have a dramatic impact this year, but we think potentially could in 2015 and following.
Arnold Brief - Goldsmith & Harris: In the joint venture, they will be selling your tufted products and you will be selling their woven product, is that?
Jon Faulkner: Well, the joint venture will actually combined our hospitality salesforce and their, which is a small subset of our overall [management] contract salesforce and their North American hospitality salesforce. Those two will be combined and then they will jointly as a combined salesforce cover the United States focusing on…..
Arnold Brief - Goldsmith & Harris: Cover the combined products?
Jon Faulkner: Coverage of combined product, focusing on…
Arnold Brief - Goldsmith & Harris: (Inaudible)
Jon Faulkner: Yes, combined product line as focusing on the four and five star hotel chains primarily.
Arnold Brief - Goldsmith & Harris: So your existing salesforce will not be selling that client anymore that’s how you are…?
Jon Faulkner: Yes, we're actually taking the people who would have been selling those and we're merging them in with their salesforce to create this joint venture salesforce combined and with the Desso…
Arnold Brief - Goldsmith & Harris: Under this agreement, are your margins theoretically as this is gets going is your margins comparable or somewhat less to the existing mix?
Jon Faulkner: Once we get going, our margins should not be any different, because it is a joint venture. So, we'll have comparable margins, we'll split them, obviously there will be a little bit of start up expenses, but that's just marketing materials, nothing major.
Arnold Brief - Goldsmith & Harris: Is it 50-50 on the joint venture?
Jon Faulkner: Yes.
Arnold Brief - Goldsmith & Harris: Okay. Do you have any indication of what their market share now is in that high end hospitality area?
Dan Frierson: We're not in a position to give out their information already I'm sorry.
Arnold Brief - Goldsmith & Harris: That’s all right.
Dan Frierson: They are a significant player and we certainly think having their sales people selling our products should be additive for us going forward in this joint venture.
Arnold Brief - Goldsmith & Harris: Maybe you could approach it another way, could you give us some idea how big, how large this segment in the hospitality market is, the size of the market?
Jon Faulkner: I don’t have an information in hand Arnie but it is a [skip] of the iceberg in that sense, it’s not a major chunk of the market where you would have the lower price hotels. And this is people who want woven products in their public spaces so there are all upper end facilities, I don’t have those numbers with at this point in time.
Arnold Brief - Goldsmith & Harris: In terms of mix, could you, I know you don’t breakout the actual numbers but could you give us some idea of how much what percentage increase in revenues Dixie, Masland and Fabrica had for the year, just in percentage terms without giving the dollar numbers?
Jon Faulkner: Well…
Dan Frierson: Are you talking about all three residential businesses?
Arnold Brief - Goldsmith & Harris: No, well, no well Masland, Dixie and Fabrica just percentage increases in sales, I am trying to get some ideas on mix. You gave residential increase in commercial but you didn’t breakout…
Dan Frierson: Within residential all three brands were up the highest growth however was in the Dixie Home area.
Arnold Brief - Goldsmith & Harris: Okay. That’s what I wanted to know. If you look at your operating margin for the year and so back over your non-GAAP expenses your operating margin actually comes in around 7.2 or 7.3 something like that on an adjusted basis, which is already the bottom-end of your range that you’ve indicated. Given all the expense cuts that you’ve gone through and plant consolidations what have you and then the leverage you’re getting from revenues on your fixed expenses, I recognize mix has had some impact on the margin. But it seems to me that again on adjusted basis, you’re already over seven, isn’t the potential somewhat higher as your sales get well over $400 million?
Dan Frierson: Yes, so our potential is higher than that and that’s why really said 7% to 9% range and -- but we do see it
Arnold Brief - Goldsmith & Harris: Is it the range a little bit lower is what I am saying, not the 7%?
Dan Frierson: Arnie, I would like to say that we could aim for a higher number and internally I know that we are trying to maximize our possibility but I will say that I’m not generally one who wants to go that far out…
Arnold Brief - Goldsmith & Harris: Okay. And looking at those margins, has part from mix and all the expenses that you have indicated and some of the cost that you are so working through, has price been any factor in terms of impacting the margins or is it pricing versus margins so to normalize at this point, without -- not being a negative effect. Have you used price to get revenues?
Dan Frierson: I would say basically no. There maybe a few cases where we have, but not generally.
Arnold Brief - Goldsmith & Harris: Not generally? Okay, thank you. Thanks very much.
Dan Frierson: Arnie, thank you very much.
Operator: (Operator instructions) We will go next to Matthew Dodson with JWest LLC.
Matthew Dodson - JWest LLC: Hey guys, congratulations on a great quarter. Just a couple of questions, can you help us understand gross margin going forward. You give your target for 7% to 9% operating income but where can we expect gross margin to go when you increase your volume to kind of leverage your fixed cost?
Jon Faulkner: If you look at gross margins we would expect them to be in the high 20s over time. We don’t see gross margins going up in the 30% range but in the high 20s.
Matthew Dodson - JWest LLC: And can you help me understand sequentially, volumes and sales went up sequentially but gross margins went down even if you back out all your integration expenses? Was it just that 60 basis points of medical or is there something else in there as well?
Jon Faulkner: There a fair amount of noise relative to mix during the time period and probably the largest single fact was we did have a couple of large jobs that were on the commercial side that occurred early in the quarter but other than the normal range of mix, and we have a pretty broad range in our mix that can occur. I would say the major effect really was the medical and then the -- like I said, we had one particular large job in early in the quarter in the commercial side. Those were really more just mix noise in the system between different brands that we were selling at the time.
Matthew Dodson - JWest LLC: And then kind of going forward then, I understand you are not going to get to the high 20s in gross margins but should we see an uptick sequentially in gross margins because mix are getting back to normal or you still going to have these medical and inefficiencies that you talked about because of the weather kind of holding gross margins back?
Jon Faulkner: I think we will definitely have inefficiencies due to weather, we had several plants affected by the weather, almost all of our East Coast facilities were one way or another affected by the weather, either from customer shipments or being shutdown, people not being able to get to work, which interrupted several times so far this quarter. But beyond that, I think we would expect to see again sequential improvements in margin as we continue to grow but the largest impact right now in the short term will be weather related.
Matthew Dodson - JWest LLC: And then, you gave your kind of SG&A outlook going down 1% year-over-year because of sampling cost, is that evenly -- is your sampling cost evenly distributed through the year or is front and loaded?
Jon Faulkner: We level our sampling cost throughout the year. We review that obviously every quarter, but the intent is to try and level our sampling cost throughout the year. And we do have of course the continuation of those SG&A expenses relative to Avant and Robertex rebranding occurring in 2014 and that will be complete in 2014, those two projects.
Matthew Dodson - JWest LLC: So then what are you guys basing that 100 basis points decline in SG&A off, just more volume?
Jon Faulkner: We had increased; if you really look back in 2010 after the downturn, we increased our sampling expenses more normal to a much higher sales level. And so as we increased our sampling expenses, we’ve been growing into that sales volume. And as we achieve higher sales volumes, our dollars of sampling will not be increasing proportionally. That’s the reason we’ll be getting it back to normal.
Matthew Dodson - JWest LLC: So, it looks like you guys did close to $77 million in SG&A for the year. Does the absolute dollars have to increase besides the increase of the expenses you just talked about, the $1.3 million going forward?
Jon Faulkner: Yes, our selling has got a variable component, because our sales people are on commission basis. And so, if you look at our SG&A, we do have a variable portion as well as a fixed portion. And that variable portion is driven by sales level, where as the fixed portion is mostly either G&A or as I said, our sampling expenses will not grow as fast as our overall sales because we’ve really been preloading or upfront investing in new products that have much heavier rate relative to our sales volume and we will go in future years.
Matthew Dodson - JWest LLC: Out of your SG&A, how much is variable?
Jon Faulkner: Little less than half.
Matthew Dodson - JWest LLC: Okay. Thank you. Congratulations for the good year.
Jon Faulkner: Thank you.
Operator: And with no further questions in queue -- I do apologize, we do have a follow up question from Arnold Brief
Arnold Brief - Goldsmith & Harris: Just in theory, is there anything in the -- assuming the economies face as you have indicated or as you expect with housing growing et cetera. Is there any reason that your margin should normalize whatever you want to consider normal, but is there any reason your margin should normalize in 2015?
Dan Frierson: Well, as we sit here today, most of the one-time expenses will be over in 2014.
Jon Faulkner: We will have the restructuring charge occurring relative to the streamlining of our distribution network through the first quarter but that will be on a separate line item on the P&L. So we can isolate that simply.
Arnold Brief - Goldsmith & Harris: That was pretty small also.
Jon Faulkner: But that will be the only item really that should not be complete by that point in time of that project…
Arnold Brief - Goldsmith & Harris: Is the answer to my question is yes?
Dan Frierson: Yes Arnie?
Arnold Brief - Goldsmith & Harris: Thank you.
Dan Frierson: Thank you.
Operator: And with no further questions in queue, I’ll turn the call back to the Dan Frierson for any additional or closing remarks.
Dan Frierson: Thank you, Danielle. We appreciate everybody being with us today. Obviously, we’ve been very successful in growing our top-line and we’re intent on growing the bottom-line to match that as we go forward. Appreciate you being with us and look forward to talking to you next quarter.
Operator: And ladies and gentlemen that will conclude today’s conference. Thank you again for your participation. You may now disconnect.